Operator: Good morning, and welcome to GAP's Fourth Quarter 2023 Conference Call. Thank you for joining us. Please note, that all lines have been placed on mute to prevent any background noise during the presentation.  At this time, I am pleased to turn the call over to GAP, so that the presentation may begin. Please go ahead.
Maria Barona: Thank you, and welcome to the [Technical Difficulty] Call. I'm pleased to have from the company today, Mr. Raul Revuelta, Chief Executive Officer; and Mr. Saul Villareal, Chief Financial Officer. Any forward-looking statements made during this conference call do not account for future economic circumstances, industry conditions, company performance or financial results. Please keep in mind that any statements or assumptions made are based on current factors and information that could materially change causing results to differ from current expectations. For a complete note on forward-looking statements, please refer to the quarterly report issued earlier this week.  Thank you all for your attention. Mr. Revuelta, please begin with your opening remarks.
Raul Revuelta: Hello, everyone, and thank you for your attendance today. As we reflect on the year 2023, we reached the highest EBITDA level in the heat of the company even though we face several challenges. In the end of the overcame den, the year started at a varying currency rate as we reached historic levels in terms of passenger traffic numbers, revenues and the expansion of airport areas. However, the positive target was offset by germane macroeconomic factors. One was the exchange rate floatation and second was a low inflation rate applicable to maximum tariff. To begin, the appreciation of Mexican peso impacted the American airports revenue, which are in U.S. dollars. The appreciation also affected certain commercial revenues in Mexico as well as international passenger fleet. In total, we have had around 20% of our total consolidated revenue. At the same time, the National Passenger Price Index, excluding Petroleum, which is used to update tariffs in Mexico remained mainly flat throughout the year, and staying below a 1% increase from the previous year, compared to the official rates of around 6% during 2022.  Cash substantially increased during '23 despite our greatest effort to remain within strict budget parameters, mainly without cost increases regarding maintenance, personnel, cleaning and electricity and with passenger traffic at a record 64 million passengers. We had a higher expenses to maintain the quality level of higher number of passengers. In addition, the consumer price index in real terms has been sustainably increasing, together with a higher minimum wage and changes in labor level, consequently, we are facing a growing challenge concerning costs, thus directly impacting our profits. By the end of 2023, we faced various challenges starting with the passenger traffic deceleration due to the Pratt & Whitney preventive engine inspections. In addition, the major challenge we face as well due to the regulatory changes and concession fee adjustments which affected our market value. Nevertheless, we have tackled this issue and have engaged in strategic negotiations with relevant regulatory bodies to navigate these changes and preserve shareholders' value to the best of our ability.  It is important to mention that despite these considerable headwinds, we achieved remarkable milestones during 2023. Adjusted EBITDA reached another record of MXN17.7 billion, up 9.7% compared to 2022. Commercially, 2023 was a groundbreaking year and one which we reached the highest commercial revenue in our history. Our strategy -- strategic focus in the area of food and beverage, parking, retail and expansion projects is evidence of our commitment to improve the passenger experience and continued sustainable growth. We are constantly working to recognize market trends adapt to them and make them our own.  Currently, we have several expansion projects underway as part of our strategic growth initiatives. This include [indiscernible] Guadalajara, Los Cabos and Puerto Vallarta airport as well as the additional mixed-use building that includes a hotel commercial spaces and corporate office in the Guadalajara airport. Furthermore, we concluded the year with a strong balance sheet, reaching MXN10 billion cash at the end of this year as well as a comfortable debt maturity profile with the net debt-to-EBITDA ratio to 1.7 times. During 2023, we wait funds for capital expenditures mainly at the airport expansion and infrastructure improvement as well as for refinancing of the debt maturity. A maturity payment of MXN3 billion will be due during the first quarter of 2024, corresponding to the GAP-19 bonds certificate, which is refinanced to a sustainable linked bond issuance in the coming weeks.  Throughout 2023, we continue to focus on our long-term 2024 sustainability strategy. The terminal processor building at the Tijuana airport obtained a gold lead certification, which was the first time on one of our airports was granted with this [indiscernible]. We also participate in the EDGE certification for gender equality and hosted our first-ever gala to benefit our discussion of foundation from the [indiscernible]. And during the year, we raised around MXN9.3 million to benefit our schools. In line with that, we extend our education program to the high school rates in Guadalajara under our [indiscernible] program committing to provide excellent education to our students.  Moving ahead in our 2024 guidance. We anticipate at 3% to 5% slowdown in passenger traffic across our airport network due to the challenged growth owned by the review of the P&W engine. We base figures in our view of the aircraft that is scheduled to grounded due to the accelerated preventive inspection as well as the flight frequency and fleet offerings on the various airlines. This decrease in passenger traffic will directly lead to lower aeronautical revenues, thus, we foresee a decrease from 2% to 4% versus 2023.  However, on a more positive note, non-aeronautical revenues are expected to grow from 12% to 14%. This type of passenger traffic decrease, we are considering the development of additional business areas such as the start of operation of the mixed-use building in Guadalajara. The building includes a hotel, corporate office and commercial space. This is in addition to the opening of around 1,100 parking spots. The tariffs in Guadalajara additional commercial space in Los Cabos and in Puerto Vallarta and the changes in the terms of the existing contracts. We expect a 65% EBITDA margin plus or minus 1%. That contraction comes mainly from a higher concession fees in Mexican airports from 5% to 9% beginning January 2024, plus labor cost increased in Mexico of around 20% and a 40% for Jamaica.  In terms of CapEx, we expect to reach around MXN9 billion in the coming year. Along with the annual committed investment in Mexico of MXN3.8 billion, we are also allocating MXN1.5 billion for the commercial projects, including the final phase of the mixed use building in Guadalajara, parking expansions and the off taking of additional business lines operated directly by GAP. Additionally, we will purchase additional land in Guadalajara to be allocated to our future expansions, which will cost approximately MXN1.5 billion.  We also have around MXN700 million of CapEx deployed in 2023, but that will be paid in 2024. Lastly, we plan to buy around MXN1.5 billion in the projects related to the Jamaican airports.  I would like to conclude by emphasizing that despite the challenge, we remain steadfast in our commitment to manage regulatory changes and sustain growth, ensuring our continued success and value creation for all stakeholders. We at GAP, we remain confident that the underlying fundamentals of our business remain strong.  With this, I want to thank you all for your attention. We are now ready to answer your questions. Operator, please open the line for questions.
Operator: Certainly. [Operator Instructions] We'll take our first question from Juan Ponce of Bradesco BBI.
Juan Ponce: Hi, good afternoon. Thank you for taking my question. I have a question – two questions actually on traffic and on the MDP. The first one on traffic. How are you seeing the airline scope with this revision of Pratt & Whitney engine at least in January, December? And also, what do you think is the impact from the slot reduction in Mexico City on your airports? And on the international side, are you seeing bookings strong from the U.S. and Mexico? Or have you seen a moderation in this market? That's my first question.  The second question would be on the MDP negotiation. I mean I know you can't share a lot, but it's still in progress, but is there any chance that it gets completed ahead of schedule because of the transition in administration? Thank you very much.
Raul Revuelta : Thank you, Juan. This is Raul. I mean in terms of the traffic, one of the things that we are seeing just for these changes on the available seats due to the inspections of engines is that the airlines are looking for the more profitable routes. And what we are seeing in all our airports and in all the countries is in some way that they are moving some of the operations from domestic market to international markets. For instance, as you see Guadalajara airport on the international side, we are seeing a really remarkable increase in passengers on January that in a big part is related bit, better yields. And for sure, the -- I would say, smarter allocation of the fleet of operators taking account the lack of seats. The other part related with Mexico City Airport and the capacity for sure is an additional change that is an additional, I would say, evident or viable in all the things that are happening right now in the Mexican market. For sure, taking into account that some of the airlines are [Indiscernible] their biggest fleet or the fleet with a big number of seats, Mexico City Airport and changes some of the fleet of other airports. But what we are seeing right now in the airports of GAP is, for sure, a decrease on the capacity and in the passengers number for the route that come out close to Mexico City Airport.  But on the other hand, we are seeing really interesting trends on the Guadalajara airport related with international passengers. It is important to mention that, for instance, Vallarta [ph] have the more important hub for international passengers and specifically the ones related with California markets, South California markets, from Guadalajara. So one of the things that we are seeing in Guadalajara is an increase on passengers, domestic passengers and connections to international flights in Guadalajara airport, mainly from Vallarta. So that is one of the things that we are seeing. So when we talk about international markets, the ones related with VFR markets are growing really in a great pace on this first quarter of the year, also on leisure markets as Los Cabos, we are beginning to see that some of the new routes will come for the second and third quarter. And in the first quarter, we are seeing more a flatter increase on passengers.  But overall, I would remind you that, for instance, on the first month of the year in January, we saw a 5.3% increase on international passengers. And it was really important to bolt that Guadalajara Airport in terms of international passengers grew 20.5%. The last part of your question related with the master development plan and the negotiation of the PMD. For sure, the airport laws really clear, the authority has until the last day of the year to give an answer. We are working really together with authority. We are working together with the airlines to get their comments about our master plan. But we could not -- and we will met our best effort trying to get as fast as possible the authorization, but we're not assured that the authority will take all the time that the airport loans give them to release the authorization. So I mean we are working really close with them, but we don't have a complete assurance about how quick could be that.
Juan Ponce: Thank you, Raul for the detailed response. 
Operator: We'll take our next question from Stephen Trent of Citi.
Stephen Trent : Good morning, gentlemen and thanks very much for taking my question. I was curious, given your experience with Jamaica and I know -- you guys have a long knowledge in that market from your vis-a-vis your Spanish strategic investor. Are you looking at any opportunities to invest outside of Mexico? Your competitor seems to be having a bit of trouble in the Dominican Republic. Would just love to get your view on high-level opportunities ex Mexico?
Saul Villarreal : Hi, Steve, this is Saul Villareal. As you know, we are following opportunities. And we have been different meetings and conference looking for opportunities right now. We have -- we're in middle of one process for one airport in Turks & Caicos Island. We were already prequalified as a bidder. So we will compete with another -- other airport operators. That's the only active opportunity that we are now in the middle of. And we will be looking for other opportunities. We are really open to see and explore any kind of opportunity. Right now, it's only one.
Stephen Trent : Okay. Appreciate that. And just one other question. Just to help get our arms around the New Mexican airport regulation, the way that we read the text back in October is that the government was potentially going to be more interventionist in terms of looking at tariffs and responding to concerns about tariffs. Have you seen any increased communication from the government at this juncture? Or is it -- and I know it hasn't been that much time or does it seem that, the amount of inquiries and communication that you received from the SCT is about the same as it was before.
Raul Revuelta : Thank you, Steve. This is Raul. I mean, in general terms, I would say that the communication with the SCT still be the same that in the past. And talking about, I would say, the tariff, we -- exactly as the same as the market, we could say that the SCT take for the first time, the new amendment of the annexure tariffs, and they apply it just as the formula growth in the case of Vattur [ph].  So I will say that we are not seeing any kind of additional intervention or any kind of different change in the way that we communicate with the authority. But what is important to, in some way, evolved, is that on the first time that the new annexure is in place for the case of Vattur the authority applied it and then an important increase on tariffs that was related with just the full applied of the new formula.  So I would say that, that is the most important thing for the first time that the new formula is induced, the authority just respected.
Stephen Trent : Okay, appreciate. Everyone, thank you. 
Raul Revuelta : Thank you, Steve. 
Operator: We'll take our next question from Alberto Valerio of UBS.
Alberto Valerio : Hi, thanks, Raul, Saul for taking my question. I have two on my side. The first one about tariffs. We see a discount of November and December last year, 10% for the three airports. Should we see these discounts removed from January on? And what do you expect in terms of tariff for 2024 inflation taking inflation as a proxy would be okay?  And my second question is about the MDP for the end of the year. We saw ASUR closing the gap of CapEx per passenger to you guys in OMA to close to MXN100 to MXN110 per passenger on CapEx? What should we expect for GAP? Is there room to increase further the CapEx per passenger? Or should we see the same ratio that we saw in the past MDP? Thank you very much.
Raul Revuelta : Thank you, Alberto. First, in terms of the discounts for this year of 2024, what we -- you're going to see is 6% of discount in nine of our airports that will continue related with the package of discounts that we have for airlines. And we used to have it. But now we have made it more public, I will say that. But what we're going to see is a discount of 6% in line of our airports in terms of the passenger's fee.  It is important to mention that the rest of our tariff will increase in terms of the inflation and these new changes will be applied from March 15. That implies the rest of our tariffs in Mexico.  In terms of the CapEx for the next MDP, I will say that we are in line with our historical CapEx and be around MXN100 -- around MXN100 per passenger. So our view today of the multiplan for the coming years will be around that figure. 
Alberto Valerio : Very clear. Can I consider these airports, the top tariff airports with the most expensive tariffs airports, those ones that will remain with discount?
Saul Villarreal : Hi, Alberto, this is Saul. We don't have the most expensive airport so far, and we are not expecting to have with the new tariff review that we will conclude at the end of the year. So we do not expect to have the most expensive airport. I think in terms of maximum tariff or in terms of passenger charges. 
Alberto Valerio : No, pardon me. I express myself wrongly. I was talking about inside we've seen your airports, the airports of GAP, those ones that will remain with the discount should be the most expensive tariff because you have different tariffs among the airports, right? So those ones with most -- the highest tariff inside GAP should view those ones with discounts that we'll keep for this year?
Raul Revuelta : Yeah. In terms of the discount, I mean, on nine of the airports, we're going to have the 6% of the discount in the passenger fee. And the only one that will not have any kind of discuss with in Mexicali, Morelia and Manzanillo. 
Alberto Valerio : Perfect. That’s it. Thank you very much for the clarification. 
Raul Revuelta : Yeah, you’re welcome. 
Operator: We'll take our next question from Pablo Monsivais of Barclays.
Pablo Monsivais : Hi, thanks for taking my question. Kind of a follow-up on previous question. In summary, what is your expectations on how close you expect to be this year relative to your maximum tariff? So are you expecting to be 97-96 that you having in mind all the discounts that you are talking about? Thank you. 
Saul Villarreal : Hi, Pablo. This is Saul. It's fairly early to know. Obviously, the discounts offer in passenger charges will affect the fulfilling of the maximum tariff. It will depend also in terms of circulation regarding the tariffs, which is the producer price index less petroleum. So we have a range of booking in between 94% to 97% for this year.
Raul Revuelta : So it depends a lot also Pablo, this is Raul, as Saul mentioned, for sure inflation, but also the exchange rate for international passengers and in the other part that is important that also give us a biggest fulfillment is in the case where the domestic market closing at lower pace than the international market. We could get a better fulfillment because as you remember, the passenger fleet for international market are higher than the domestic market.  So we are really early in the year to have like all these macroeconomic trends in the land. So for the moment, we are seeing this -- the rents that Saul mentioned. I mean, we should be really keep an eye really close to these macro trends to see if the fulfillment could be higher than we expected.
Pablo Monsivais : Okay. And just sort of a follow-up. Can you tell us what is your inflation expectations that you are incorporating in the specific tariffs that are not from Tijuana?
Saul Villarreal : As Pablo, the inflation applicable for specific tariffs is, as Raul explained, is consumer price index is 4% for the maximum tariff that we are expecting is 1.5%. 
Pablo Monsivais : Okay. Thank you very much. 
Operator: [Operator Instructions] We'll take our next question from Juan Macedo of GBM.
Juan Macedo: Hi, guys. Thanks for taking my question. My first question is regarding capital allocation. You mentioned in the report that you will propose extraordinary capital reimbursement. Should we see this as an annual dividend? Or is there room for ordinary dividend. And also buybacks, are you seeing any buyback for 2024?
Saul Villarreal : Hi, Juan, this is Saul. As we announced in the -- in our press release, the board of directors approved a payment of MXN13.86 per any share as a capital reduction in favor of our shareholders. And it will be submitted to the approval of the Extraordinary General Shareholders' Meeting that will be held in April 2024. 
Juan Macedo: Yeah. Should we see this as the annual dividend? Or is there maybe another period?
Saul Villarreal : No, for now, it's the only amount approved by the board of directors, and that's the only payment distributed to the shareholders.
Juan Macedo: All right. That's very clear. Thank you. And just one quick question. We saw a slow decrease [Indiscernible] recently along with [indiscernible]. Has this been part of any of the conversation to any way so far?
Maria Barona: Juan, we couldn't understand you. Can you repeat the question, please?
Juan Macedo: Yeah, we saw a decrease technical occupancy, along with the MDP have you been in talks of this option in any way?
Raul Revuelta : Thank you, Juan. I mean, right now, as you know, we have an agreement with our strategic client. For the moment, we will continue with that -- with the government that we have. But for sure, we will continue evaluating which are the best options for the company. But for the moment, I could tell you that we are evaluating the option for the company. 
Juan Macedo: Thanks for the -- sorry.
Operator: We'll move next to Isabela Salazar with GBM.
Isabela Salazar: Hello, thank you for taking my question. I was wondering if you could give us some details about the Jamaican concession regarding the economic rebalancing. Has it already been done? And also in terms of commercial projects, are these contributing to the overall results? Or when did they start contributing? Thank you. 
Saul Villarreal : Hi, Isabela, this is Saul. Well, we are continuing with conversations with Jamaican authorities. We have a barrel agreement, but the process in Jamaica is very long. They will have to pass through the parliament for different approvals. So we wait. We are expecting to have this rebalancing process to conclude at the end of this year.  They announced that probably in the second half of this year, the second half could be from July to December. So we are -- we don't have any certainty about this. So we will have to wait and to see if it's possible to pass through these approvals pass through the parliament.  Well, regarding your second question about commercial projects. As we mentioned, we will have the opening of the mixed-use building in Guadalajara which is interesting integrating the hotel -- 180 rooms of hotel, corporate offices and retail area commercial area integrated to the airport terminal into the parking lot. We are also opening additional spaces spots in the parking lot. So that will be ready in -- and it will start in April 1.  On the other hand, we already have that terrace in the Guadalajara airport which is a very nice and very large area of commercial food and beverage that will contribute with the commercial revenue increase. As we announced in our guidance, even though the decrease expected in terms of passengers, we will have a relevant increase in terms of commercial revenues.
Raul Revuelta : And just about the timing of these openings, as I will mention, the hotel, the mixed-use building will be in operation on April 1 but the parking lots will have some opening in Guadalajara. We have an opening in the summer and second stage for the end of the year that -- at the end of the year, we will have at least 11,000 additional spots for Guadalajara that means an increase of almost 100% of spots. So for sure, that will give us important boost on the parking lot revenue for -- mainly for the coming year but it is really something important to have in mind.  And the last, in terms of the tariff, the -- today, we have an important number of food and beverage companies that are already operating. We did all the areas and all the different parts are already begin to build around 70% of the spaces are already operating from this January. But the area of all the new commercial layout of Guadalajara Airport will be fully put it in place and fully deployed for August of this year. For that moment, we will begin to see in our revenues, all the full impact or the full additional revenues that will come from that additional layout.  But I will say that what we are expecting for the coming months is that the trend that we have of the last quarter of the year that was an increase of commercial revenues in high double digit will continue for the next quarter. And as we say on the call, our guidance for the full year of the non-aeronautical revenues will be to close with that increase of revenue from 12% to 14%.
Isabela Salazar: Perfect. Thank you so much for your answers. 
Operator: We'll take our next question from Federico Galassi of TSG [ph].
Unidentified Analyst: Hello, guys, Saul, Raul. Congrats for the results. Just two questions. The first one is related continue with the commercial revenues. In the line of car rental, you have the increase. This is a -- this is a number, if you want, that should maintain. There is more room to grow here. And this is the first question.
Raul Revuelta : Thank you, Federico. I mean, for sure, we have a really interesting growth on commercial revenue in the line of the car rental and was due mainly to the billing process of Los Cabos airport. But I will tell you that for this year, also we have the possible excellent news that we are expecting an increase also related with the bidding process for our Guadalajara Airport. So at the end of the year, we are expecting for that specific line that our double-digit growth will continue for this 2024.
Unidentified Analyst: Great. Thanks, Raul. And the second question is more related to the COGS side, in particular, in the cost of employees and maintenance that's again a bit same year-over-year, in particular, if we see against revenues. What can we expect for this year in particular, we have the increase in minimum wage in January. There are people or the government talking about the increase -- a change in the labor hours. How is your viewing these two topics?
Saul Villarreal : Hi, Federico. This is Saul. Obviously, we have faced a lot of pressure in terms of the increase in salaries, not only in our general airports in middle of the country, but also in the board, airports like Mexicali and Tijuana, the 20% increase in minimum wages is affecting in general, the contributions, the social securities and also in terms of benefits to the employees. So it also affects the security and cleaning that is related with the personal high bar that third parties suppliers. And it's also affecting in terms of maintenance.  We will try to look for cost control in all the year in 2024, but there are some effects that will be impossible to control. As you know, we try to maintain the cost per passenger very efficient. And we will try to maintain that. Considering that for this year, we are expecting a decrease or at least a decrease in passenger traffic for between minus 3%, minus 5%. So it is an important point. It is complicated. It will be worse in case the change in labor law in terms of the reduced journal from 48 hours to 40 hours that will represent around 20% to 25% increase in terms of head count for the company.  So right now, we are facing trouble, certain troubles to hire people in all our airports in all lines of the headcount. And if that change pass, we will have several problems for higher additional people.
Unidentified Analyst: Okay. Facing the labor hours if the project could go ahead and that could be the impact for the operations?
Saul Villarreal : The impact for operations? No, we do not estimate an impact of operations for this, but we will see a significant increase in terms of cost.
Raul Revuelta : The pressure is there the cost, not necessarily operation. As Saul said, there's a low for a change in our labor law in the table on the Congress related with -- today, we have 48 hours labor week in Mexico. The proposal of the Congress is to bring it to 40 hours per week. If that happened in that low change in labor will happen, for sure, it will have an important impact in the number of the head count of our airports that we will need for continuing our operations.  But again, it’s in some of the different changes that the Congressman has in the table -- we don't know. We don't have the assurance that this will happen or not. But for sure is, I would say, a change of the structural cost of the company, not just for GAP, but for all the companies in Mexico, if that law is approved by the Congress.  So we want to keep an eye on what that, on how does this law could move. But as Saul said, there will not be impact on the operations, but for sure, it will be additional pressure for our cost on the terms of personnel.
Unidentified Analyst: Thanks. Thank you so much, guys. 
Raul Revuelta : Thank you. 
Operator: At this time, I would be happy to turn the call over to Alejandra Soto.
Alejandra Soto: Thank you. We have a question from [Indiscernible] in the webcast, and he is asking two different questions.  First, what is the company's strategy to try to negate some of the pressures in salaries if you can?
Raul Revuelta : Yeah. Thank you, Alejandro. I mean for sure, we are, as you know, some of the DNA of GAP has been really disciplined on the management of our cost. We are working to continue given the best possible services to our passengers and taking or bringing to the company additional technology that will give us the opportunity to bring additional efficiencies to the company and to the operations.  So one of the big or the key points that we are trying to deploy on this year is that we'll not hire additional head count with the exception of the new business lines directly operated by us as could be hotel. That will be, for sure, a first effort in some way to freeze the growing on head count for the company. And for sure, as soon as the passengers after all these Pratt & Whitney engine’s problem will continue to grow in the future. Our idea will be to try to freefall that head count and in some way, bring additional efficiencies to the company and for sure to the margins of the company.  But the first idea and the way that we are working right now is to try to bring additional technology to the company to try to avoid any additional increase on the head count for the coming years. 
Alejandra Soto: And the second question from Alex [indiscernible] also. If you can share your expectation for the tariff and the CapEx for this renegotiation of the MDP.
Raul Revuelta : Well, I mean, we will continue on the same line that we have talked in the past, we think that the negotiation would be zero to 5%. For sure, there are a lot of things moving in the middle all the pressure on cost of salaries in some way should be necessary to reflect the [indiscernible] of the master plan, but also we really need to have a fully understand what will happen tariff of the passengers, how -- in some way, the full recovery of the market from the P&W engines problem. So I would say that we keep our original target of zero to 5% in terms of the increase of the maximum tariff for the company.
Alejandra Soto: Thank you, Raul. This is the only question that we have in the webcast.
Operator: Very well, we'll return to a follow-up question from Juan Ponce of Bradesco BBI.
Juan Ponce: Hi. Thank you for the follow-up question. Just on the 6% discount in nine airports. Just wanted to confirm how long will these discounts be in place? 
Raul Revuelta : For the -- all the 12 months of this year, Juan.
Juan Ponce: Gracias.
Operator: And there are no further questions at this time.
Raul Revuelta: Thank you very much for your attention. Before I conclude, I want to mention that the GAP 2024 event is coming up and will be held at the Guadalajara Airport of April 10, 2024. We hope you can join us for a morning of management presentation. And I guided tool for all our neuro innovations and expansions taking place in the airport. Please contact our Investor Relations team for more details. Thank you. Have a wonderful day. 
Operator: This does conclude GAP's fourth quarter 2023 conference call. You may now disconnect. And everyone, have a great day.